Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the BlueLinx’s First Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) As a reminder, ladies and gentlemen, this conference is being recorded today, May 1st, 2013. Thank you. I would now like to introduce Maryon Davis with BlueLinx. Ms. Davis, you may begin your conference.
Maryon Davis: Thank you, Regina. And welcome everyone to the BlueLinx’s first quarter 2013 conference call. Our speakers this morning are George Judd, Chief Executive Officer; and Doug Goforth, Chief Financial Officer. Our press release was issued earlier this morning. A copy of the release is available in the Investor Relations section of the company’s website at bluelinxco.com. Before starting the call, I need to refer you to our Safe Harbor statement. I’d like to remind everyone that on today’s call, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including all statements concerning future or unexpected events or results. Actual results could differ materially from those projected in the company’s forward-looking statements due to known and unknown risks and uncertainties. A discussion of factors that may affect future results is provided in the company’s filings with the Securities and Exchange Commission. BlueLinx undertakes no obligation to publicly update or revise any forward-looking statements contained in these presentations based on new information or otherwise, except as required by law. With that requirement completed, I’d like to remind our listeners that we have posted slides on our website. We will be referring to these slides during this call and we encourage you to view them during our remarks. Additionally, the slide package contains an appendix of supplementary tables available for your review. We will begin the call this morning with opening remarks from George. Then Doug will present an in-depth review of the financial statements. Lastly, George will provide an operations review and a final perspective before opening the call to your questions. Now, let me turn the call over to our Chief Executive Officer, George Judd.
George Judd: Thank you, Maryon. Good morning, everyone, and thank you for joining us this morning. Before beginning our remarks regarding the first quarter 2013 results, I’d like to comment on our press release issued March 29, 2013, announcing the completion of the previously announced $40 million rights offering. The right offering was fully subscribed and as a result on March 28 BlueLinx received net proceeds of approximately $38.6 million from the offering. The newly subscribed shares were issued on March 28, 2013, resulting in approximately million total shares outstanding. After giving effect to the offering, Cerberus ABP Investor LLC, our largest stockholder, beneficially owns approximately 54.4% of BlueLinx’ common stock. Leave you the tremendous response to this right offering by existing shareholders a strong indication of continued confidential in the support in of our gross strategy. The new residential construction market and a lesser extent the home improvement in revolving markets are showing signs of significant improvement. I believe this highly successful offering underlines investor confidence and BlueLinx’ ability to benefit from these improving conditions, we thank all of our stockholders for their support. Now, I’ll turn the call over to Doug to begin the review of the first quarter financial results. Doug.
Doug Goforth: Thank you, George. Good morning. Beginning on slide six, overall sales for the first quarter ended March 30 totaled $503.2 million, up 10.9% or $49.4 million from the first quarter of 2012. This reflects a 27.7% increase in structural product sales and 1% increase in specialty product sales from the year ago period. First quarter sales mix was favorably impacted by increased structural product pricing compared to the year ago period with structural sales accounting for 46% and specialty sales accounting for 54% of total revenue during the quarter. Overall unit volume rose 2.7% compared to the same period a year ago, as specialty unit volume increased 1.5% and structural unit volume increased 4.5% compared to the same period last year. Turning to slide seven, BlueLinx generated approximately 56 million in gross profit for the quarter of 4.1% from approximately 54 million in the year ago period. Overall gross margin was 11.2% for the quarter down from last year’s 12% as lower margins structural product sales increased from 41% on revenue to 46% therefore representing a larger mix of total gross margin. First quarter operating expense of $61.6 million were up compared to $58.3 million for the same period a year ago and included $0.6 million in net expense from significant special items in in 2012. Excluding significant special items operating expense as a percentage of sales was 12.1% compared to 13% for the same period a year ago. The company reported an operating loss for the first quarter of 5.1 million compared to 4.1 million in the prior year period reflecting a 2.2 million increase in gross profit and a 3.3 million increase in operating expenses. Our first quarter net loss of 12.6 million or $0.19 per diluted share compares with a net loss of 11 million or $0.17 per diluted share in the first quarter of 2012. Our reported net loss for the period is after interest expenses of 7.2 million compared to 6.8 million in the prior year period. The current quarter net loss is after a tax provision of approximately 200,000 which was comparable to the tax provision in the prior year period. Turning to cash flow on slide eight, during the quarter, we used approximately 96 million in cash from operating activities compared to approximately 89 million from the same period last year. Our first quarter of 2013 operating cash flow was comprised of a net loss of 12.6 million, 3.8 million in non-cash expenses, 86.9 million increase in primary working capital component and 0.1 million usage in other items. The increase in working capital primarily reflects a 61.4 million increase in accounts receivable in accordance with rising sales, seasonal increase in inventory of 90 million partially offset by a corresponding increase in accounts payable of 64.1 million. As we discussed on prior earnings calls we will continue to tightly manage our working capital items on an ongoing basis and as always we expect to consume cash through the first half of the year as our working capital increased to support a growing business. Investing activities included approximately 1 million for capital expenditures and 200,000 in proceeds from real-estate related items during the quarter. Cash provided by financing activities was 96.7 million for the quarter driven by a 71 million net increase in outstanding borrowings under our revolving credit facility approximately 40 million in proceeds from the rights offering, a 6.3 million decrease in bank overdrafts a 3 million in restricted cash related to the mortgage and a 5 million usage from other items. We received approximately 40 million in gross proceeds from the 2013 rights offering which was offset by expenses paid to-date of approximately 0.01 million. Net proceeds from the transaction were approximately 38.6 million and exclude all expenses related to the 2013 rights offering. Some of which were paid during the second quarter 2013. On that proceeds from the rights offering were used to minutely paid down the US revolving credit facility. Result in cash balance in March 30th was 5.3 million compared with 5.9 million a year ago. Moving to slide nine, we had approximately 126 million of excess availability under our revolving credit facility as the quarter ends. This is approximately 78 million above our minimum availability requirement on our U.S. revolving credit facility as March 30th. The combined debt balance on out mortgage and revolving credit agreement was 447.7 million an increase of 70.3 million from the fourth quarter of 2012. Net debt at the end of the first quarter was approximately 439 million compared to approximately 372 million at December 29 401 million at March 31st 2012. As previously announced, concurrent with the completion of the rights offering, the company amended and extended the US revolving credit facility. As a result of the amendment and the extension, the company's existing 400 million credit facility was increased by 22.5 million to 422.5 million. Maturity date was extended to April 15th 2016. The amended U.S. revolving credit facility continues to have a 100 million uncommitted accordion credit facility to potentially increase the maximum available credit to 522.5 million. Turning to slide ten, cash cycle days for the first quarter totaled 51. That compares with 58 days sequentially and 57 days for the same period a year ago. The increase in cash cycle days is a result of both strategic inventory investments and increases an inventory levels across power regions in anticipation of external spring selling season. Finally, concurrent with this morning's announcement of the first quarter results, we announced a subsequent to the end of the first quarter. We contributed certain qualifying employer real properties of BlueLinx early retirement plan. Real estate including certain land and building is located in Charlestown, South Carolina; Buckland, New York that's been valued by independent reprisals at approximately 6.8 million in the aggregate. The company is leasing back the property from its hourly retirement plan for 20 years and will pay monthly rent to the retirement plan. The contribution in the property will not have any impact on the company's day to day operations in these locations. The contribution of real estate is expected to see that all of the company’s 2013 cash contribution requirements for its early retirement plan. That concludes my prepared remark, now let me turn the call back over to George.
George Judd: Thank you Doug. Our business is off to a good start in many parts of the country. BlueLinx performed well in the southern regions, but underperformed expectations in the northern regions, as the country experienced the long cold winter, especially when compared to the early spring experience last year. We realized sales growth despite the tough comparison and benefitted from strong wood-based structural products prices and increased demand in geographic regions with less severe winter. As discussed on previous earnings calls in general, we expect our structural business to strengthen earlier in the housing recovery and it is our intention to aggressively pursue profitable business growth within this category of our business. Our customers rely on BlueLinx to support their inventory as the structural businesses expand. Our job is to manage this growth with a disciplined margin in inventory plan. We did a good job of this during the first quarter. Structural sales grew 28%, represented 46% of total revenue. Structural gross margin was 8.7% for the quarter, down from 9.9% a year ago. This is a consequence of the elevated pricing environment we experienced in the first quarter. With the higher prices the industry transacts business at a lower gross margin rate and it still generates an acceptable return. So let me give you a specific example. A truck load of plywood that we might have sold last year for $15,000 with a gross margin of 10% generates $1,500 in gross profit; that same truck load of plywood sold at elevated prices for $25,000 at a 6% gross margin generates the same $1500 in gross profit. While the gross margin percentage falls, the gross margin dollars generated remains constant on a flat unit volume. We experienced many competitive situations during the quarter that required us to the lower margin expectations although still transacting good business. Though our first structural gross margin percentages declined compared to a year ago, total structural product gross profit dollars grew at a faster rate than our unit volume. Our unit volume grew at 4.5% the quarter. Structural gross profit increased to approximately 13% or $2.3 million in the first quarter compared to a year ago. First quarter gross margin on the Specialty side of the business increased to 13% compared to 12.6% a year ago as we continued to focus on margin improvement, pricing discipline and expanding the more value added specialty products in our assortment. Specialty revenues declined in two of our largest specialty regions compared to the same period last year. Historically are best specialty sales markets are in the North East and Mid-West which were impacted by severe winter. When the roads are icy and snow covered we often elect to keep our trucks off the road until they're safe. Sales in the first quarter last year benefited from record warm temperatures which prompted an earlier than normal start to the 2012 selling season. The shift contributed to sales growth at 16% in the first quarter of 2012, over the first quarter of 2011. Specialty sales were up 1% in the first quarter 2013, a large percentage of specialty business is programmed business where customers commit to purchase a specific product or brand exclusively from BlueLinx. Many of our fastest growing specialty products are more closely tied to the repair and remodel markets which are recovering more slowly. Looking forward we expect, seasonal strengthening in all areas in the second quarter especially the North East and Mid-West and recover and repair and remodeling market to help fuel specialty revenue growth. In summary we grew overall revenue 10.9%, by placing a greater emphasis on core structure products, which are used in their earlier phases of new home construction, we expect specialty sales to increase with seasonal demand increases and as repair remodeling markets drivers improve. The repair and remodeling business saw little improvement as the housing market improved in the first quarter. We continue to do a good job of managing our cost during the quarter. Total operating expenses as a percentage of sales were 12.2% compared to 12.9% a year ago. Remain optimistic that to sustained upward trend in both housing starts and permits will continue and will accelerate growth in other areas such as repair and remodeling. We invested in inventory during the quarter and are well positioned to grow in all regions as we move in to spring, our team's focused on providing great products and services to our customers as to overall markets for our product we distribute continues to gain momentum. With that we open the call to questions, operator?
Operator: (Operator instructions). Our first question will come from the line of Mark Kaufman with Little Oak asset management.
Mark Kaufman - Little Oak Asset Management: What’s the outlook on catching up on the specialty side of the business in the North East and Mid-West in this quarter; I certainly understand the weather's still being difficult even in April in the Mid-West?
George Judd: Yes we did see continued acceleration throughout the month of April in specialty sales particularly in the northeast and southern markets of the Northeast we still have those in New England still lower than we like to see it. The Midwest is not performing at the way we want to see it yet but all of our customers and we have been talking to them regularly have a good pipeline of business and when we look at our specialty business in how the season affects it, some of our largest quotes are roofing which we talk about in most of calls, our roofing business is well behind where we expected it. Our decking business, with some of that tied to some of our top retail customers is well below where we expected it and our vinyl siding we did a big launch with our vinyl partner Ply Gem, a new upgraded vinyl product called compass, spend a lot of time and money, bringing out product to market together with Ply Gem and we haven’t see the projected increases in revenue. So start to see it this week even in the Midwest, in parts of the Midwest we saw it and we are still optimistic that that business is coming and the reason I talked about program business in my prepared comments, program business is lost in advance, we haven't lost that business so we have our customers business, it’s tied up, the prices are set and we got a wait for the orders to come through.
Mark Kaufman - Little Oak Asset Management: In comparative, how does it look in the southeast?
George Judd: Building, the southeast had a better first quarter in the specialty side. I did talk about the ratios of specialty business are traditionally our strongest specialty markets are in the northeast and Midwest so they make up a larger percentage of our total specialty revenues so they are down and they were down in the first quarter, it’s an anchor for us. Those businesses continue to grow in most areas. We have got a couple of areas that we are not happy with but we are driving it harder and we are optimistic.
Operator: Your next question will come from the line of David Williams with Williams Financial.
David Williams - Williams Financial: Just a quick question, I wanted to get your thoughts on how you are seeing lumber prices trending now, it appears that the things are starting to moderate a bit and then if reduce that moderation what do you expect there, how do we expect that the impact may be margins going forward, especially as we think about may be specialty coming back up we get into the spring selling season?
George Judd :  Lumber margins are moderating they’re weak right now by lumber prices. We’re not expecting it to be a prolonged correction, we know prices were high on lumber products, they can’t continue to go up forever. So, we had expected them to start to fall and we’re managing our inventories in our sales appropriately for that. But we have an inventory positions. So, when lumber price is fall it affects our gross margin percentages. We’re optimistic; I think the industry is optimistic listening to others talking to our suppliers. So, there is a lot of business out there that’s happening, a lot more business happening 12 months ago. People are going to have to buy the product to build these homes that are coming out of the ground and I expected there to be a correction. So, it’s pretty down lumber composite is pretty down last week, they’re trading down again today, mid-week. And when they level out, when they start to go up I think it is short term correction. So, through the quarter, I think that we'll have a couple week hit, two, three weeks hit in our margins and we’ll come back and they will start to gain momentum again. 
David Williams - Williams Financial:  And then secondly you talked about the R&R market defiantly has improved to the same pace as we’ve seen in the new home market. What maybe give you confidence or maybe early indications of the R&R market either starting to recover, or that it will recover through the back end of the year.
George Judd :  For couple years we’ve been talking about differed home repair and upgrade, consumer confidence drives a lot of the upgrade part. You can’t defer everything forever. We see the signs, we hear it, we’ve got a lot of plans and when we talk to (inaudible) Board for the housing institute and when we look at their later are into the leading indicator for remodeling activity, they are very optimistic and they talked to all the remodelers and everybody in industry on what’s happening. How many quotes they have, how many digs they have, how they turn their order, et cetera. All of that is optimistic. When I talk to may customers and my suppliers that do a lot of business in the repair and remodeling sector everybody is feeling the same way that there is going to be robust increases in activity. However nobody felt it yet. I mean it's up a couple of points, and that’s better than shrinking but we don’t feel that people have come out and decided after going for example build a new deck. It’s slower than we projected but we’ll count it on the future on seasonality and all of the indicators that we measure out there as far as confidence and projects are planned.
Operator: You question will come from the line of Alan Webber with (inaudible) and Company.
Unidentified Analyst: Can you talk about in some of the markets when some your major product lines whether you think you’ve picked up or lost market share.
George Judd: I’ve been trying to give you some color with some of the answers to some of our questions, when we look our structural portion of the business in the first quarter we maintained or slightly grew market share not everybody reports the same way we do so, it’s a difficult comparison but that’s our estimate. With the specialty side of the business we surveyed all of our top customers and we surveyed all of our suppliers and our business is equal to or better in all them but the customers that are just focused in Texas, Arizona, Las Vegas or part of California. If you have real small services area those markets outperformed us. We did not participate in some of the recovery in the Phoenix and Las Vegas markets that extent the housing recovered. Traditionally those weren’t large share markets for us and we don’t have large facilities in those markets, so that wasn’t a surprise to us.
Unidentified Analyst: Basically when you look your volumes relative to new home start like that, you kind of just should basically too you’re being heavier in the Northeast and Midwest why the number don’t look as good that way?
George Judd: Well in the Southeast it’s a tough comparison, housing starts right and that’s one of the thing that I talked internally to our team about constantly you know the mix up which we didn’t give some disclosure last year on how our revenues are generated from housing starts from repair model from our industrial and manufacturing housing businesses, how that mix up components. When housing grows that 20%, 30%, 40% depending on the region and repair modeling grows at 2 then what’s the blended average and that’s how we run our business and our expectations and we continue to refine those models to determine how we perform against the market. But when we look at the products that we sell that are tied to new home construction the structural stuff and then even products like molding products that we counted as specialty like engineered lumber some of the folks count that in a different segment our business is growing market by market with the starts.
Operator: There are no further questions at this time I would now turn the call back over to Mr. Judd for any closing remarks.
George Judd: Okay thank you operator thank you all for listening to this morning’s call and look forward to talking to you next quarter.